Operator: Good morning, ladies and gentlemen, and welcome to Arcosa, Incorporated Second Quarter 2022 Earnings Conference Call. My name is Bobby and I will be your conference call coordinator today. As a reminder, today's call is being recorded. Now I would like to turn the call over to your host, Gail Peck, CFO for Arcosa. Ms. Peck, you may begin.
Gail Peck: Good morning everyone and thank you for joining Arcosa's Second Quarter Earnings Call. I'm joined today by Antonio Carrillo, President and CEO. I'll begin with a few reminders and turn it over to Antonio. A question and answer session will follow our prepared remarks. A copy of yesterday's press release and the slide presentation for this morning's call are posted on our Investor Relations website ir.arcosa.com. A replay of today's call will be available for the next two weeks. Instructions for accessing the replay number are included in the press release. A replay of the webcast will be available for one year on our website under the News and Events tab. Today's comments and presentation slides contain financial measures that have not been prepared in accordance with GAAP. Reconciliations of non-GAAP financial measures to the closest GAAP measure are included in the appendix of the slide presentation. In addition, today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from such forward-looking statements, please refer to the company's SEC filings for more information on these risks and uncertainties, including the press release we filed yesterday and our Form 10-Q, expected to be filed later today. I would now like to turn the call over to Antonio.
Antonio Carrillo: Thank you, Gail. Good morning everyone and thank you for joining today's call. Starting on Slide 4, I'll begin with our second quarter highlights. Arcosa reported excellent second quarter results, reflecting strong infrastructure related fundamentals proactive pricing actions and significant operational efficiencies. All segments contributed to this quarter's results led by our growth businesses within Construction Products and Engineered Structures, with each of our segments generating double-digit increases in revenue and adjusted EBITDA, we delivered record second quarter adjusted EBITDA and record adjusted EBITDA margins of 16.5%. I am proud of the dedicated team for once again executed at a high level successfully navigating the challenging environment, managing inflationary pressures and driving lean manufacturing efficiencies. We continue to advance our strategic transformation with the acquisition of RAMCO, a leading provider of recycled aggregates in the Southern California market while optimizing our portfolio with the pending divestiture of our storage tank business. RAMCO is a great addition and complement to our construction products business and I'll provide more details on this acquisition in a moment. We also continued to make progress on several large organic projects that should start producing positive EBITDA in 2023. Based on our stronger than expected first half performance and our increasing confidence in the outlook for the second half, we're raising our full-year revenue and adjusted EBITDA guidance. Turning to Slide 8, we continued to make progress on our strategic transformation that is focused on reducing the complexity and cyclicality of our business. Over the past 18 months, we have completed three key acquisitions in construction products expanding our capabilities and expanding our geographic footprint into high growth markets including Arizona, Southern California, and Tennessee. At the same time, we have rationalized our portfolio with the pending divestiture of our storage tank business for $275 million providing a significant source of capital to reinvest in growth initiatives. In particular, we continued to execute on several organic growth projects which include the expansion of our specialty materials plaster plant in Oklahoma and the construction of a concrete pole manufacturing plant in Florida to support our utility structure business. In addition, we will open two new aggregates greenfield sites in 2023 which will accelerate the growth in that business. Turning to Slide 9, in May, we acquired RAMCO, a leading independent producer of recycled aggregates serving the Greater Los Angeles Metropolitan area consistent with our disciplined approach to strategic M&A. We acquired this business for $75 million, representing an attractive implied valuation of less than eight times EBITDA. RAMCO is relatively small yet compelling strategic addition to our Construction Products business, complementing our existing footprint and customer base in the California market. RAMCO has a unique business model, it charges customer a fee to receive Construction Materials for recycling, then crushes materials and sells them as recycled aggregates. This combination of being able to charge most to receive and sell recycled aggregates makes RAMCO a very profitable business. We're excited by the opportunities it brings to our cost. With the mid-year close, we estimate approximately $5 million of incremental adjusted EBITDA from RAMCO in the second half of 2022. Now I will turn the call over to Gail to review our second quarter financial performance in more detail, Gail.
Gail Peck: Thank you, Antonio. I'll start on Slide 11 and touch briefly on our first consolidated results. Second quarter revenues increased 17% driven by double-digit increases in all segments. Second quarter adjusted EBITDA improved 26%, outpacing the increase in revenue, led by our growth businesses. Overall adjusted EBITDA margin increased 120 basis points to a record 16.5% in second quarter, led by Engineered Structures and supported by consistent year-over-year margins in construction and transportation despite inflationary pressures. Turning to Construction Products on Slide 12, revenues and adjusted segment EBITDA each increased approximately 20% primarily due to organic contributions with acquisitions contributing roughly 5% points to revenue growth. Demand trends remain favorable across the segment and we maintain stable margins year-over-year due to proactive pricing actions. On a sequential basis, margins improved 260 basis points from the seasonally slower first quarter. We continued to face headwinds from inflationary pressure particularly higher costs for energy and for cement, which is used in our stabilized sand product lines serving the Houston market, although higher energy and cement costs increased cost of sales by approximately $10 million during the quarter. We believe full year segment margins in 2022 has the potential to meet or exceed last year's level. And natural aggregates healthy demand field elevated price increases across our market with average organic pricing up low double-digit that helped to maintain organic margins year-over-year. Total natural aggregates volumes increased significantly as we benefited from the addition of Southwest Rock. On an organic basis, we generated mid-single-digit volume growth led by our Texas and Gulf Coast regions. While weather was generally better than that in the prior year quarter, we experienced some volume pressure due to the lack of cement availability, which impacted our stabilized sand operations in Houston, as well as our ready-mix customers in the Texas, West and Gulf Coast region. Turning to recycled aggregates, volumes and pricing increased significantly in the second quarter was a late May closing, RAMCO contributed positively to our results. The second recycled aggregates growth during the quarter was largely organic reflecting favorable demand and improved weather in the Houston market. In Specialty materials, average selling prices were up broadly but volumes were down, leaving revenues about flat year-over-year and margins lower. Strong volume and pricing growth in our plaster business was offset primarily by lower lightweight aggregates volume. While market demand for lightweight aggregates remains favorable, volumes declined due to scheduled and unplanned maintenance as well as labor availability in certain market. Finally, our trench shoring business reported a 29% increase in revenues on higher steel prices and increased volume. by order activity was healthy during the quarter, providing solid production visibility. Moving to Engineered Structures, on Slide 13, second quarter adjusted EBITDA increased 30% outpacing revenue growth and resulting in a 270 basis point increase in margin, although each business contributed to the better-than-anticipated quarterly results, utility structures was the primary driver of the significant outperformance during the quarter and versus the prior year. This business benefited from robust market demands, strategic pricing measures and increased operating leverage. Combined revenues and adjusted EBITDA in our traffic and telecom businesses were also up compared to last year. We built in our traffic structures business were helped by a $1.6 million gain on the sale of one of our two plants in Florida as we consolidated our footprint serving the region. In our storage tank business, second quarter revenues increased 22% reflecting strong pricing to counter steel price inflation. Overall volumes were lower year-over-year due to reduced volumes in our products serving the Mexico market. Turning to wind towers, we executed well during the second quarter and significantly lower year-over-year volume. At the end of the quarter, the combined backlog for utility wind and related structures of approximately $410 million, up 18% year-over-year, led by utility and traffic structures. Turning to Transportation Products on Slide 14, the segment executed well as the year-over-year volume and profitability improvements in our steel components business more than offset expected declines in our barge business. Segment adjusted EBITDA increased 29% with similar margins to last year. Second quarter revenues in our steel components business increased 18% driven by significantly higher volumes compared to last year's trough level. As a result, adjusted EBITDA margins increased notably and improved operating leverage. Our barge business exceeded our expectations despite challenging market conditions and lower volumes year-over-year. Revenues increased 10% due to higher steel prices, while adjusted EBITDA decline but benefited from better cost absorption as several barges scheduled for the second half, moved into this quarter. At the end of the second quarter, our backlog stood at $132 million with approximately 50% scheduled for delivery in 2023. Moving to Slide 15, we ended the quarter with net debt to adjusted EBITDA of 1.9 times, down slightly in the first quarter driven by higher free cash flow, reflected in our crude leverage position is an additional $30 million of net revolver borrowings to fund the acquisition of RAMCO. During the quarter, we generated $60 million free cash flow compared to a breakeven level in the first quarter. Second quarter working capital management contributed $8 million cash flow representing a significant improvement from the first quarter, driven by increased payables and supported by flat inventory level. Inflationary pressures continue to increase overall working capital investment. So we continue to expect working capital will be a source of cash the full year in 2022. Capital expenditures were $27 million for 2022, we continue to see full year CapEx of $120 million to $140 million with the potential to reach the high end of the range based on the growth projects we have underway in construction and Engineered Structures. During the quarter, we repurchased shares totaling $15 million, leaving $26 million available under our current $50 million authorization. One final note before turning the call back to Antonio as we anticipate the store extent divestiture to close in the second half of the year, the business is now presented as held for sale on our balance sheet. There were no changes made to the P&L or cash flow presentation. In addition, similar with our prior guidance and to facilitate comparability, our newly revised guidance includes the full year of storage tank results. As we indicated in yesterday's release, the midpoint of our revised guidance includes full year revenues of $250 million and adjusted EBITDA of $53.5 million related to storage tanks. Antonio?
Antonio Carrillo: Thank you, Gail. As Gail discussed, we continue to benefit from solid underlying fundamentals within our infrastructure related businesses and we're successfully managing cyclicality in our wind barge and rail components. We remain vigilant in monitoring inflationary pressures proactively implementing price increases where appropriate and drawing on the strength of our supplier relationships to secure more advantageous pricing on key raw materials, including steel. Many of our businesses benefit from long-term secular trends, driven by both public and private investment in large-scale infrastructure projects and we expect the infrastructure bill will add an uplift in 2023. We continue to monitor the macroeconomic environment in light of the increase in interest rates and the potential impact on housing demand and consumer confidence. Please turn to Slide 17. At the midpoint of our revised guidance range, we now forecast EBITDA improvement of 27% for our growth businesses in 2022. We expect second half EBITDA in our growth businesses to exceed our strong first half performance with the addition of RAMCO. The outlook for construction products remains positive, benefiting from our expanded portfolio of products, favorable aggregates pricing and healthy construction activity in our major markets. At the same time, we continue to manage supply chain constraints currently affecting certain customers. As we look at 2023, we anticipate that the initial spending out leads from the $1 trillion infrastructure bill will provide a tailwind for our Construction Products business. Strategically, we have achieved significant progress in broadening our geographic presence and product portfolio through our focused approach to M&A. Today, our Construction Products segment is fundamentally stronger more resilient and more diversified, providing a solid foundation for long-term growth and margin expansion. While we continue to evaluate smaller bolt on opportunities that would enhance our operations, we're passing our larger M&A efforts for now as we focus on completing the organic growth projects we have underway. We continue to see strong outlook for growth businesses within our Engineered Structures segment. The key drivers are continued robust demand for utility and traffic structures and improving demand within the telecom market. Electric utilities continue to direct CapEx towards rate hardening, resiliency, and renewable energy projects, providing good visibility for our utility structures through the remainder of 2022. In addition, we are seeing favorable volume in our traffic structures business. Moving to Slide 18, although we continue to face challenging environment in our cyclical businesses, we have seen early but promising signs of market recovery, most notably, our barge business secured $35 million in new orders in the second quarter adding to the $105 million new orders received in the first quarter. Our ability to secure more favorable steel pricing was a key factor in getting these orders which completed our production plans for this year and provide production visibility into 2023. In addition, we have seen barge order inquiries trend upwards indicating pent-up demand for customers seeking to upgrade their aging fleets. In wind towers, the absence of our renewable tax credit continues to weigh in short-term demand. However, the long-term outlook for wind power generation remains very positive. We are encouraged by the recently announced Senate legislation that includes tax spreads for renewable energy. If enacted into law, these credits should provide a significant boost to our wind tower business. We anticipate the rail components business will continue to perform well over the remainder of 2022 benefiting from improvement in the North American market where deliveries are forecast to raise sharply compared to 2021. Turning now to our updated financial guidance on Slide 19. For our cost overall including storage tanks, our revised 2022 adjusted EBITDA guidance range is now $325 million to $345 million, up from our prior guidance of $290 million to $305 million. Using the midpoint of both ranges, our revised guidance represents an increase of $37.5 million from our prior guidance. The increase in our full-year EBITDA guidance range reflects our stronger than expected performance in the first half of the year as well as our increased confidence in the second half outlook. For our cyclical business, specifically, we estimate 2022 adjusted EBITDA of $32.5 million to $35 million, up from $20 million to $25 million previously. Driven by our expectation for slightly higher production volumes and greater operating efficiencies in both our barge and wind tower business. Second half expected EBITDA for the cyclical businesses trails our first half performance primarily because certain higher margin barges scheduled for delivery later in the year, shifted into the first half. In summary, our guidance for the second half shows the same pattern. Significant year-over-year expansion in our growth businesses, compensating for weakness in our cyclical business. In closing, our strong financial performance and our solid outlook for the second-half lead us to increase our full year revenue and EBITDA guidance. I am pleased with the strategic progress we have made expanding and strengthening our growth businesses through acquisitions and organic initiatives while selectively optimizing our portfolio to enhance our resiliency and reduced cyclicality. And I would like to open the call for questions.
Operator: [Operator Instructions] We'll take our first question from Stefanos Crist with CJS Securities.
Stefanos Crist: Good morning and congrats on the quarter.
Antonio Carrillo: Thank you, Stefanos.
Stefanos Crist: You discussed pausing M&A for organic projects. Can you talk about some of those organic projects and how much capital you can employ in those.
Antonio Carrillo: Sure. I'm just trying a little bit in my script, but I'll give you a little more color. So we have really four large projects going on. We have a new plan to expand our Plaster capacity significantly in Oklahoma. We expect to expand our capacity to start that plant sometime early in 2023. We announced in the first quarter conference call, we announced a new concrete pole facility in Florida that should start late in 2023 and because we just started and then we have two greenfield facilities for our natural aggregates business that should start somewhere also in 2023. So those are and that's why the CapEx this year is so high because we are investing in those projects and the reason for the passing of the larger M&A has to do not only with that we will do, probably some bolt-ons like RAMCO and some others, but if you think about the environment we're in, or there is expectation for a slower economy, et cetera, think about dry powder to find better opportunities as we see them. So it doesn't mean we won't do anything. I just think the environment will lend itself, so that we can find those opportunities, let's say, better prices or better opportunity in the near future.
Stefanos Crist: Perfect, thank you for the color, if I just follow up on the acquisition of RAMCO. Can you just talk about your expectations for recycled aggregates going forward and what you see driving growth there.
Antonio Carrillo: Absolutely. So we're putting them into sort of the same of natural aggregates but pricing for recycled aggregates is set by natural aggregates, that's the maximum price you can sell and the demand factors are the same. The pricing demand is exactly the same. It has a couple of differences. I think one is for you don't have reserves. So the return invested capital is much higher because you don't have a lot of reserves. Margins, I would say, are in the similar ranges as natural aggregates. So the fundamentals on the market is very similar. The difference is how you acquire those, how would you acquire your raw material, it's in this case is rubble. I described a little bit in my script that in the case of California, we charge a fee to receive that material, because you cannot dump in landfills over there, and that's one of the beauties of this business in California, the regulations support recycling a lot, but the business is less developed than here in Texas. So I think we're taking our experiences from Texas and applying it to California, where we already had a presence in our lightweight aggregates. So I think the future for recycled aggregates, it's a growing business and something that I think it's here to stay, I think it's a trend that we cannot stop this all the recycling and it's not a business that, it's a business as a complement to natural aggregates, not something that it's a much more business than natural but it's a very healthy business.
Operator: We will take our next question from the line of Garik Shmois with Loop Capital.
Garik Shmois: Hi, thanks for taking my question and congratulations on the quarter. I just wanted to start with Engineered Structures to margin improvement in the quarter, just it's going to be parse out the drivers around the margin expansion, not asking you to hold to kind of 18% to 19% margin moving forward, given how much stronger in the quarter was relative to normal, but just kind of wondering maybe how sustainable this type of margin is in the near to mid-term.
GailPeck: Good morning. Garik, this is Gail. Yes, we're very, very pleased with the performance of the Engineered Structures segment, first half margin above 16% for the segment. Very strong first half performance, as we said in our comments and materials led by utility structures and very robust demand and solid execution really across all fronts from material handling and even including safety as we look at our safety records year-over-year. So this team is really firing on all fronts and we benefited from a favorable mix during the quarter. So as we think about the back half, like I said, a 16% or so margin for the first half, it may be, it may be a challenge to meet that level for the second half, we do have some slots to fill later in the year and often those come with big market orders, so there could be a potential those slots selling with lower margins, but all in all, our expectations for the segment is to continue to have a very strong second half, but it just may be hard to meet that really perfection level that we achieved in the first half.
Antonio Carrillo: Garik. Let me add something which I think is important to remember. This segment includes wind towers and if you remember three years ago, our highest margin business in that segment was wind towers and we are achieving these margins even though our wind tower business, it had a better performance than we expected. It seems like there were more efficient, but there is still balancing bound in the bottom. So I think we are very optimistic about the future of wind especially if legislative package goes through, but that's, right now wind towers are being carried by the rest of the businesses.
Garik Shmois: Got it. That's encouraging. Wanted to follow up just on the cyclical business. I think you mentioned, first off, there are some barge shipments that were pulled forward into the first half of the year, was wondering if you could quantify that and just more broadly, you're starting to see some life here at the bottom, but with the market worried about a recession. Just kind of curious if your high level thoughts on how the cyclical businesses could perform in a recession.
Antonio Carrillo: So I'll give you, talk a little bit about. So the barge pulled forward, I think let's give you the numbers, but it's maybe a couple of million dollars up moved forward and I mentioned in my script that the second half. That's why we expect the second half to be a little lower in the cyclical businesses, which will be over-compensated by the growth businesses including now, the new acquisition, so I'll give you a little color on the three cyclical business, starting with barge as we've discussed before, this is a business driven specifically, it has several drivers. And of course, energy markets are one of the biggest ones, second all the grain exports, believe it or not, now the coal market is showing signs of life, but those are the three big drivers on petrochemicals. We are seeing very healthy inquiries for barges, especially for dry cargo hopper barges, which are mainly grain, coal and those kinds of commodities and some petrochemicals. And so, the reason I think the demand continues to be slow still is a very large component of the cost of a barge. Barges are made with plate generally and place even though steel has come down quite a bit in coil, the plate market has not behaved the exactly the same way. So there is a wide difference right now in pricing between plate and coil, but every forecast shows that plate is coming down. We've seen, we have been able to get some of these from plate that relatively good prices. And that's why we've been able to sell these barges in the first quarter and second quarter. But everything indicates from the conversations with our customers to the inquiries we're getting that the demand is there and also that the price of steel should be coming down and we don't expect it to come down to levels of 2019. But it should be very good news for our barge business at least to show the trend of still coming down. On wind towers, normally we have our negotiations, we are customers that it's this time of the year. So even though we didn't have orders in the second quarter, it didn't surprise us, it's timing issue. But we, the market is very slow and unless we get this production tax credit approved, we expect slow wind tower market in the near future. And even if we get this legislation approved, there is already a gap created between the time you start a project and the time wind towers are delivered, so we will have a period of slowness in wind towers with our goal right now is to stay, keep our manufacturing flexibility as healthy as possible so that we can take advantage of the demand. When it comes back, because we believe it's going to be extremely robust when it comes back. And then finally rail components, we're seeing, we saw significant growth in EBITDA and revenue in the quarter and we see a very good ending of the year. The rail market has a forecast of significant growth in 2022. For 2023, there's a range of growth and let's see where that falls but 2023 seems to be also a good year for rail components. So all in all, I think if you add them all, I think positive news. Let's wait on the legislative package to see if it gets approved, that would be really good news for us.
Operator: We'll take our next question from the line of Julio Romero with Sidoti and Company.
Julio Romero: Good morning, everyone. Wanted to stay on the Engineered Structures side, specifically on the utility structures business. You talked about robust demand, Materials Handling mix. What surprised you the most in the quarter relative to your expectations three months ago?
Antonio Carrillo: Hi Julio, it's Antonio, you know, I think you know things aligned very well in terms of the size of poles we were making. I think the allocation we did to our plants, as you know, in 2021, we started our, ramped up our plant in Mexico. Our production in Mexico has been going very, very well and the efficiencies ramping up probably faster than we expected. We are seeing more availability of labor. We have been seeing for probably a year, it was very difficult in the U.S. to get labor for our plants, over the last three months, at least we've seen positive trend. It doesn't mean we have a line of people waiting, but we are getting the right, the people that we, that we are meeting. But I think that business, specifically in our team is doing just an incredible job. Now we've brought tremendous amount of talent to the team, and they're just performing like clockwork. They're doing a very, very good work. So I think it's a combination of all things and as Gail mentioned it shows in everything from safety to quality to efficiencies. It's just the implementation of our lean process over there. It's going very well. So I think the team is just doing a fantastic job.
Julio Romero: Okay, that's very helpful. And then I believe you guys touched on it earlier the Inflation Reduction Act, the Senate legislation, any way to think about the impact to your wind tower business and our folks in the value chain, getting cautiously optimistic about that potentially being enacted.
Antonio Carrillo: Yes. So if you look at the, I would say the tone in the market or the, I would say almost the environment or the conversations, the mood in the market from a month ago to today is completely different, it changed dramatically. And if you look at the legislation or the proposals, it is different from the previous ones in terms, it will have a significant impact on our business, because it has provisions or things to be made in the country. We are basically making them all in the country. We use everything sourced in the U.S. basically. We think we comply with a lot of the things that are in the package. So I think it would be a perfect package for us, but there is also the provisions that provide incentives for manufacturing and other things, which are in addition to the previous package. So all in all, I think it would be a fantastic booster business. And it would provide a longer-term view and perspective to the business, which is something that's needed. If you see the history of wind tower business, every time there's clarity and their is certainty for investors. The business behaves very, very well. Of course, the risks of [indiscernible] I don't want to comment on what percentage or what are the risks or the challenges, I would say it's my hope that it happens.
Julio Romero: Yes and knock on wood, it sounds very encouraging. Thanks very much for taking the questions.
Operator: We'll take our next question from the line of John Ramirez with DA Davidson.
John Ramirez: Good morning. This is John Ramirez for Brent Thielman. Is there a way for us to understand what the impact of higher diesel and other cost is due to aggregate margins. On the surface, it looks like they are stable. But you have some acquisitions that this year-to-year comparison. I'm just wondering what kind of pressure you're seeing since the industry peers are seeing pressures.
GailPeck: Yes, that's, I'll take, that's a great question and we did try to provide some color on that in an aggregate bucket of costs. So if I look at fuel inclusive of diesel, natural gas, or Specialty Materials business is a consumer of natural gas and coal along with cement, which is used in our and then put in our stabilized sand product in Houston, we saw about a $10 million increase year-over-year in cost. I would say when we look at those costs in the pieces that drove that, the largest driver was diesel, by far was the biggest component of that $10 million increase year-over-year.
Antonio Carrillo: One thing to clarify which is I think it's important, we have a very, very, very small downstream business. So we are mainly aggregates and recycled aggregates. We don't ship our product. So we, that's an important difference with some of our peers, where they have you're ready-mix and other things and they use a lot more diesel than we do. We basically use our diesel inside our facilities to move our loaders and things like that. So we are a little less exposed because we don't have that delivery system that some of our peers do.
John Ramirez: And just to clarify that $10 million year-over-year cost is that overall, or that was specifically for cement.
GailPeck: That was for the categories of energy and cement, the price impact of taking volume side really weighted price do for those inputs to our cost of sales year-over-year.
John Ramirez: Got it. And if I could do another question. What do they inquire and quotations look like for wind and but shoring business and in the second half of this, and barge for the second half of this year based on the commentary you provided today.
Antonio Carrillo: Sure. For wind. We are basically sold out at the current capacity for 2022. So we have good visibility of our production for 2022. For 2023, we are in the process of negotiating with our customers, their program for 2023. So as I mentioned in my comments before, we do expect slowdown in wind and slow market simply because the even though, even if the packet gets approved the time between the time we begin approval and then projects being ready to be rolled out and also delivering power takes time. So we expect 2023 will be a slow wind tower year and I think that's, that's the general mood of the industry. In terms of barge as I mentioned before, very healthy inquiries for coal, grain and petrochemicals and even at this current steel prices as they fall down, I think we're going to be able to sell some, let's hope, let's hope prices fall fast so that the expectations of the customers aligned with the current market.
GailPeck: And then maybe just on barge you'll agree mentioned it in our prepared remarks, to see that in our materials, our backlog is about $130 million right now. Half of that is for the back half and then we have the other half that scheduled for 2023. So that gives you a sense of the cadence with what we have at backlog today.
Operator: We'll take our next question from the line of Trey Grooms with Stephens.
Noah Merkousko: This is Noah Merkousko on for Trey. And congrats on the strong results. So first I think you'd mentioned in your prepared remarks that aggregates pricing was up low double digits in the quarter pretty impressive. How should we be thinking about that for the back half. Would that accelerate given the expectation for more price increases in the back half, maybe see mid double-digit growth, mid-teens growth.
GailPeck: Good morning. This is Gail. Yes, we did have nice pricing in the quarter, the low-double digit. If you look at the first quarter was mid-single digit. We have annual guidance out there for prices mid-single. I think the strong performance in the second quarter gives us confidence, we're going to be at the high end of that range for the year. The pace of pricing continues to be an everyday discussion for us. We're obviously seeing a lot of value for our products and raising price to combat inflation where we can. I'm not sure I'm in a position to say we can match the low-double digit for the back half. But we're certainly watching pricing very, very, very, very carefully.
Antonio Carrillo: And Gail mentioned in her remarks in our goal for the year is to at least meet or exceed our margins from last year. So our goal is to try to match pricing increases to be able to focus on the margins for the business.
Noah Merkousko: Okay, that's helpful and then the volume side, I think you said mid-single digit volume. Is that a good run rate for the rest of the year. Obviously there are some headwinds coming from new residential, also been hearing of a lot more supply constraints. So maybe if you could just contextualize how you're thinking about volumes for aggregates.
GailPeck: Yes I stick to kind of our full year guidance there. Volumes were much lower in the first quarter on a year-over-year basis. So we're seeing organic one to three, I think just like pricing. We have the opportunity to the volume for the full year coming closer to that higher end of our organic range, to your point, we're watching residential very closely, conditions still very favorable in the markets that we're at, within Texas, within Tennessee, within Arizona, but we're watching residential very closely.
Operator: We'll take our next question from Ian Zaffino with Oppenheimer.
Ian Zaffino: Hi, good morning. This is Alex on for Ian. Thanks for taking the question. Regarding the infrastructure bill. I know we've been talking about it for some time, but just wondering Is there any indication into the magnitude of the uplift for 2023 across the businesses, maybe as applies to Construction Products or the utility structures business.
Antonio Carrillo: Yes, this is Antonio, it is hard to point, give you a number, but I will tell you if you read the infrastructure bill, I think you can put in Arcosa name almost to everything that's included, probably except water, we don't have a lot of exposure to water infrastructure. We are seeing already in some of our businesses projects being deployed, especially for example in the barge business, the maintenance of the blocks and some large projects for improving the infrastructure around the Mississippi River, there is a lot of talks of many, many projects out there. It's hard to, it's hard to see which projects comes from the infrastructure build versus just a normal project. So, but what, what we said in our comments is we expect in 2023, we will see some tailwinds from that, it's hard to tell you how much, but I think the way I think about it is many of our businesses are behaving very well and have drivers that are not necessarily tied to GDP growth. They have specific things like barge, replacement of wind towers, things like that. They have a specific drivers and the infrastructure bill just provides some additional boost to that. On the other hand, for some of the businesses that are more tied to the construction housing, things like that. I think the infrastructure bill provides some sort of a safety net for them because would you get some headwinds for housing, you will get some tailwinds on the infrastructure side, which is a much bigger exposure, we are much more exposed to infrastructure than housing. So I think overall, it should help us compensate some of the negatives of slowdown.
Ian Zaffino: Okay, great, that's helpful. And then briefly on M&A, I guess given the acquisition of RAMCO, it seems like there is still plenty of strategic or bolt-on acquisitions out there. I know you mentioned larger M&A would be off the table for now, but generally what does the M&A landscape look like. I guess what kind of synergies, if any, can be realized on small acquisitions like RAMCO.
Antonio Carrillo: So, I said larger M&A's of the table, it's really, we're going to be taking a pause and being very disciplined around it too because we think we can, we are going to find good opportunities probably later. On the bolt-ons, we do have a pipeline, we always have a full pipeline, we have analyzed and we choose the best ones we want and synergies are relatively easy to generate in smaller acquisitions where you have a presence. So once we have a presence, for example, now in Arizona, bolt-on acquisitions are integrated relatively fast and there are many, many synergies, in the case of RAMCO, for example, I think recycled aggregates, it's really more developed here in Texas than in California in terms of the discipline, the pricing, the operations. So I think, bringing our capabilities from our Houston and Dallas market to California is going to help us. And the idea is to increase the margins. So I think the synergies are more operational and let's say our systems than anything else, but they are very, very profitable, but when you do a bolt-on and try to generate the synergies really fast so.
Operator: And that is all the time we have for questions. I will now turn the call back over to CFO, Gail Peck.
Gail Peck: Thank you, Bobby. And thank you everyone for joining us today. We look forward to speaking with you again next quarter.
Operator: Thank you for joining the Arcosa, Incorporated second quarter 2022 earnings conference call. This does conclude the program. You may now disconnect. Have a great day.